Operator: Good morning, ladies and gentlemen, and welcome to the presentation of Enagás Earnings for the first quarter of 2013. Figures were released this morning before the opening bell and are available on our website, www.enagas.es. Mr. Antonio Llardén, the Chairman of Enagás, will host the presentation. We expect it to last about 20 minutes, less than as usual. And afterwards, there will be a Q&A session. During which we will try to answer any questions as fully as possible. Thank you very much for your attention, and I will give the floor to Mr. Antonio Llardén. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you very much for joining us. Today we are presenting results for the first quarter of 2013. I'll try to be as brief as possible because in February, we already presented the full year 2012 results and the strategic update for 2013, 2015. And as you all know, tomorrow we are holding our general shareholders meeting.
 Now the results secured by Enagás over this first quarter, a detailed version of which is available in the conference call presentation, have surpassed our targets for the year as a whole, thanks to the third party asset purchases. So in like-for-like terms, they have followed the trajectory envisaged in our budget and our line was undertaken for the current year.
 I will now briefly describe the main figures. EBITDA grew by 9.4% compared to the first quarter of 2012 to stand at EUR 234.3 million. That increase was due mainly to growth in the company's asset base over the past year. In this respect, highlights included the setup of the Yela storage facility commenced operations and the incorporation of the Altamira plant.
 Now the company reported a net profit of EUR 95 million, that is 9.6% higher than the same period last year. In addition to the Altamira and Yela facilities, our stake in the Quintero plant made a positive contribution to earnings, consolidated using the equity method. Another key factor was that borrowing cost during the quarter were lower than our average forecast for the year. In like-for-like terms, the profit increase was 6%, in line with the target of 5.5% growth for 2013.
 We have invested EUR 308.4 million, chiefly in relation to the acquisition of a 90% stake in Naturgas Transporte for EUR 245 million. The value of assets brought into service during the quarter was EUR 268.1 million, also mostly accounted for by the addition of Naturgas assets in the vast country and other regions of Spain.
 Enagás financial position remains one of the company's main strength. Here, we wish to cite the following figures. The company's net debt at 31st of March stood at EUR 3.693 million. We are maintaining a prudent debt structure strategy with an 80% of fixed rate debt, in line with the year end 2012 and surpassing the 70% target we had operated in recent years.
 At the end of the quarter, March this last quarter, Enagás liquidity stood at EUR 2.4 billion. This enables us to high solvency ratios and continue to pursue our investment plans without jeopardizing financial flexibility. During this current fiscal year, 2013, the company has no major refinancing needs, although we are continuing our proactive policy of renewing short-term loans, striving to reduce the average cost of debt to an absolute minimum at all times. Once again, these figures confirm Enagás sound financial position, enabling us to continue to forge ahead towards our strategic targets. These first quarter earnings will put us on track to meet our commitments for 2013.
 Let me remind you our main commitments. First, EBITDA growth of roughly 9%. This will be achieved through higher income and lower operating cost, mainly lower operating cost. Secondly, a 5.5 -- roughly 5.5% increase in net profit, a dividend increase in the region of 13% and investment of EUR 650 million, as well as deployment of assets worth EUR 550 million, in line with the targets set forth in our plan. These targets were established according to the criterion of prudence in the year but particularly volatile economic environment.
 I would like to comment on the draft law currently being debated in the Spanish Parliament on guarantees to security of supply and the increased competition for islands' and non-mainland pipes systems. The draft law is focused in power issues, and I won't comment on those of course, but such project also takes into account that the ownership of the Canary Islands regasification plants, which must be built in the future, must be transferred to Enagás. As you are aware, these 2 projects will help boost the efficiency of power systems in the Canary Islands and provide security of supply on the islands. But most importantly, it will allow us to reduce cost and emissions of pollutant gases.
 Now, regarding pollutant gases, this is flagrant, because emissions in the plants are lower, much lower than any of the fuel used for power generation. And in terms of cost, as you will remember, the Canary Islands have no subsidies for the overhead cost of power. So the use of gas will allow us to reduce these costs, which at the end of the day we are all paying, all the Spaniards are paying. On the other hand, the Canary Islands, unfortunately, are the only Spanish region with no natural gas facilities, therefore, these projects, in terms of gas, is aiming at improving and also solving, for once and for all, this issue.
 I will remind you, the main target for 2013, 2015, which we mentioned 2 months ago during our strategic presentation. And I will remind you that we were talking about an average compound annual growth rate of 4% for net profits, also a compound annual growth rate for 6% for dividends, setting a minimum of 75% payout ratio from 2013 onwards. And we are also talking about an annual average investment of approximately EUR 700 million in Spain and internationally. As already mentioned, these targets were set according to a criterion of prudence and on the basis of reliable hypotheses.
 Now in terms of demand, I'd like to comment on the following: Despite the current economic situation in the first quarter of the year, conventional demands, that is domestic and commercial demand, cogeneration and industrial demand, rose by almost 1%, following corrections for the working day and temperature, in line with our forecast for 2013. If you'd like to gain an insight into these issues, I will talk to you about this during the Q&A session.
 Conclusion, these first quarter earnings give Enagás good visibility for 2013. In this respect and having these available data, we are on the right track to meet each and every one of our commitments, not only in 2013, but also in 2014 and '15 as we have been doing for the last 6 years in a row.
 Thank you very much for your attention and should you have any further questions, please do not hesitate to ask me. And the CFO [ph] will be able to reply some of those questions along with all the managing directors. Thank you very much, indeed. 
Operator: [Operator Instructions] The first question is by Mr. Gonzalo Sanchez from BPI. 
Gonzalo Sanchez-Bordona: I have actually 2 questions. The first one is regarding the new regulation that is being drafted for x mainland -- non-mainland systems. Would this have an impact on the investment plans published by the company in February? I understand it would be an upward impact. The second question is regarding the cost of debt. Could you please give us the exact amount of the debt during the first quarter and whether are you going -- is it going to be below 3.25% through 2013 or it's going to grow over the last -- over the next quarters? 
Antonio Llardén Carratalá: Now I will answer the first question, and the CFO will address your second question. So you are correct, the new regulation for islands, as soon as it's passed by the Parliament, would have an impact on our investments. Although, the bulk of the impact would be beyond 2015. Let me explain this further. In our planning, we had included for 2013, 2015, the opening of the Tenerife plant work. Now with the measures the government has introduced, and provided they are passed by Parliament, instead of having 40% of the company, we would have 100% of the company. So at the end of the day, we would have built both plants, the approximate cost of both would be EUR 600 million. So instead of doing 40% of EUR 600 million, we would be doing 100% of EUR 600 million. Now that said, for the 2013, 2015 forecast, we had only included the Tenerife plant because of the timing, and of course, it would not be done by 2015, we would only be starting with the other plant. So there is a possibility that from 2013 to 2015, there is a minimum effective change in the investment. But of course, there are EUR 300 million to EUR 350 million, additional millions in investment, which would be included after 2015, and those were not forecasted. Now for the next question, Mr. Diego de Reina will take the floor. 
Diego de Reina Lovera: Gonzalo, you are correct, the cost of debt over the first quarter was lower than our forecast for the whole year compared to the 3.25% expected for the year. The actual figure is 2.90%. This is due to a better behavior of the European commercial paper compared to our initial forecast. As you know, this financing instrument is very volatile both in terms of figures and cost. So for the moment, we are maintaining our expectations of having an average funding cost -- growing average funding cost and by the end of the year, it will be at around 3.25%, which is our goal set. 
Operator: The next question will be by Virginia Sanz from Deutsche Bank. 
Virginia Sanz-de-Madrid: I have 2 questions. First, I want to understand why the demand for transported gas has fallen so much. I've seen the data for conventional demand. But I see that for transport demand, demand has fallen 10.7%, could you explain that? Also, the government is talking a lot about the electrical reform and they are talking about how all activities should have a reasonable return? Otherwise -- don't you think that they would look into gas-regulated activities at some point and work in the same direction? What are your expectations in this regard? And third question, I would like to know if now that Naturgas is involved in the investment and start up, has it contribute to the first quarter figures that we've seen? 
Antonio Llardén Carratalá: Now regarding the transported gas demand, you are correct. It has a direct impact on the demand for gas for the electrical sector and fall in demand is 10.7%. Now, in our forecast, and we can make very precise forecast for conventional demand, we're confident about those. But the demands of the regulator is that for transported gas is to be able to serve that demand, and I can assure you that we can. That said, an accurate forecast of the demand is really beyond our reach since there are certain factors, issues that have an impact in this demand and have little to do with the weather and with economic situations. Now specifically, the electricity sector in this quarter has fallen by 10%, approx. And well, this is what accounts for this situation. Now that was my personal opinion. And of course it's personal. I don't have specific figures, but this is what I think. The decrease in gas for electricity that is combined -- the use of combined cycles is reaching a bottom, this is my personal technical opinion. And I believe that at some point regulators, I don't know when, but regulators will take measures in this regard since both in terms of impact on CO2 emissions and in terms of the economy, I think it's very interesting that combined cycles work at higher ratio than presently. In any case, figures are what they are right now. Now, moving on to your next question. Analysts, you among them, know very well that our retribution systems are very well-adjusted. A few years back, we had important changes in the regulation, specifically for assets prior to a certain date. So we do not think, and we're speaking honestly here, we do not think we're going to be affected by these measures because as I have said, our income -- our revenue is very well-adjusted and they have little to do or nothing to do with the electrical price deficit. Now let me share with you some data that I will mention tomorrow in the shareholders' meeting. We're, of course, going to talk about the strategic plan 2013, 2015. We're going to talk about efficiency. A good part of our good results are due to efficiencies -- financial efficiencies of course, which we have mentioned many times, and efficiencies in terms of costs. Now let me share some figures with you. Through this period of time, the average cost of our transportation network has decreased, staff and raw materials. So the cost has decreased by 15%. The amount of energy we need to do our job has decreased by 10%. And we have international figures, comparing ourselves with our peers internationally, our global operating cost per unit are linear, specifically in the transportation network, which are the most important cost. So our costs are below 40% of the European average. These data are known by the regulators, by European regulators, too. And very modestly and honestly we can say that Enagás is very efficient, specifically over the last few years, when we saw that regulators were going to add to tolls -- were going to put barriers on tolls so that the practice of energy would remain positive to clients. 
Operator: Ladies and gentlemen, there are no more questions in Spanish. Now moving onto English. [Spanish] 
Antonio Llardén Carratalá: My apologies, I forgot the last question, my team reminds me, Naturgas. Virginia Sanz asked me about this. So Naturgas, over the first quarter, has not been taken into account in the result. We have included it as an investment, of course, because the agreement has been signed, but it's not reflected in the P&L account yet. Thank you very much, and my apologies. 
Operator: Our first question in English comes from Mr. Olivier Van Doosselaere of Exane. 
Olivier Van Doosselaere: First, we'd like to come back to the transport of gas demand that was down to 10%. I'm really surprised that you wouldn't have a full year expectation on that one. I mean I suppose it is quite important because as you see, it might be linked to regulations because there was a big power deficit in the electricity sector, but if we have a figure like that in the gas sector, we will get a tariff deficit there as well. So if the situation does not improve in the gas sector, where do you expect the tariff deficit to end at the end of this year. And the second question would be on the Castor, when you expect that one to come operational and do you think the exercise was a good option with your 32% could still be on this year or is it should we maybe better expect for 2014? That's it for my side. 
Antonio Llardén Carratalá: Mr. Olivier, I'm going to reply to you in Spanish because we have simultaneous interpretation. Now regarding the demand evolution, the current figure that we have at the moment, year-end figures, despite the weak trends in this first quarter, is that conventional demand, year-end, would have experienced an increase of around 2% -- roughly 2% -- well, 1.7%. Now as far as the total demand is concerned, taking into account of the lower power demand, we are currently calculating it. But there is a slight increase. We strongly believe that a total demand at year end would be roughly around 0% increase, flat. It might increase or decrease a little bit. But it's -- we have experienced flat demand. However, when we are talking about conventional demand, we believe that it'll continue to experience a good trend, not as good as the previous years because of the weather reasons, but it'll be roughly 2%. Hopefully, the deficit at the end of the year wouldn't have -- would not increase. Now regarding the Castor plant, our calculations and forecast and projections is that the stake that we would take there, has been included in the 2014 fiscal year, not in the 2013. Okay, this is as far as the stake is concerned. And I think I've replied to your question. Yes? Thank you very much, indeed.
 So if you do not have any further questions we will now conclude this presentation of earnings. And if you do have any further questions, please do not hesitate to go back to us. Thank you very much, indeed.